Operator: Good day and welcome to the Agnico Eagle Mines Limited’s Third Quarter 2015 Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Sean Boyd, Chief Executive Officer. Please go ahead, Mr. Boyd.
Sean Boyd: Thank you, operator, and good morning everyone and please take note that the conference call will contain some forward-looking statements. We’ll start with the highlights of the quarter another good solid operating performance essentially across the board getting good contribution not only on the production side, but also on the cost side. We saw particularly strong performance coming under the Abitibi operations which grow record at quarterly goal production and low costs. We saw two new production record set at Canadian Malartic our cash costs in the quarter at Canadian market came in at $544 ounce. So on the back of a very strong quarter we have updated our guidance for 2015. Our production guidance is gone up 50,000 ounces as we said largely on the back of the four mines in the Abitibi offset by the Meadowbank line were the inclusion of the Vault Pit and the extension of the Vault Pit. So change the mining sequence and lower mining grade. So I’ll told allowing us to increase the guidance on production and also lower the guidance on unit costs we are looking at cash costs are about $600 as guidance for 2015 and all at sustaining costs of $850 ounce. We continue to be very active on the exploration front in fact our exploration spend doubled in the quarter versus the previous year’s quarter. The main focus of the drilling that continues to be in Mexico at Barqueno and we will talk about that when we get to the Southern business side, but also in Nunavut at Amaruq we are drilling was focused on Whale Tail essentially where we were focusing in the area between Mammoth one and Whale Tail and the drilling is indicated that Whale Tail and Mammoth there is now a single mineralize system that now extend over two kilometers and it remains open in all direction. Also have note in the quarter from drilling what we are focused on the V zone is although it still early the results in this area team to indicate the potential for a possible second open pit which could be a very important terms of the economics given that the Amaruq area is going to be a satellite to the Meadowbank operation. Financial flexibility continue to improve in the quarter despite of focusing on exploration and moving projects for in the long-term focus on your business we still did manage to continue to improve the balance sheet we reduced our net debt in the quarter by $20 million. From the operating result perspective the unit cost performance was very strong as you can see in it really was it all driven by favorable FX or my ability to manage the cost, but also on our focus over the last little while of trying to optimize operations from a production standpoint. So our teams across the board have done a very good job squeezing out additional ounces, which would help us lower the unit costs. So not only on a cash costs basis at $536 but also on an all in sustaining cost basis in the quarter of $759 very good performance. As we said that good performance allowed us to improve our financial position our net debt as we set was down about $20 million to a little over $1 billion. The reasons for the improved financial position as we set our growth in operating cash flow which was driven by the increased output and the lower unit costs. On the financial highlights slide you can see the operating cash flow number was strong before working capital changes in the quarter we generated $218 million in operating cash flow to about a $1 per share as we set we were still spending that money focused on the long-term aspect of our assets particularly on the exploration front and even with that we are able to reduce the debt. Getting in to the assets in particular the LaRonde had a very strong quarter production of 72,000 ounces cast cost at $558. We are starting to see a pick in grade, grade in the quarter was a bit lower 4.2 grams per tonne versus roughly about 2.9 grams per tonne in the quarter a year earlier. Our recoveries were extremely strong at 95.6%. In the first nine months of the year we averaged 3.8 grams per tonne at LaRonde, so we’re starting to move closer to the reserve grade, which is 5.2 grams per ton. Running LaRonde at about 6,000 tons a day, our cost per tonne was lower with the additional tonnage versus a year earlier quarter and C$101 per ton. So, good job at managing the costs, our flexibility in the lower mine improves, continues to improve as we add additional infrastructure and commission that infrastructure in the lower mine. And we continue an active drilling program focused below the 311 level as we see the ability to add ounces ultimately to the mine plan. I think that this quarter gives us a sense of what is possible at LaRonde, what we’re capable of doing as we begin to access increasing quantities of higher grade ore in the lower mine. And as we’ve said many times this mine is set to produce in the mid 300,000 ounces per year range, we see years in the mine plan will exceed 350,000 ounces. And that’s without using the additional five plant capacity that will be available in the Lapa mine comes off-stream by the end of next year. We have some ideas where we can hopefully take advantage of that. And so we could be in position at one point to see the LaRonde [indiscernible] producing around 400,000 ounces a year. So we’ll talk about that at the end, we’re going to be get you some sense of where we feel we’re heading in terms of our five-year production outlook. Canadian Malartic a very strong quarter increased throughput, higher grade, good cost performance, recoveries at 89% setting records on quarterly tons and total average tons per day. Our tonnage 53,700 tons was up 52,500 in the year earlier quarter, our cost per tonne was C$19.60. So we can see the results of continuing to focus on taking small steps from an optimization standpoint there's additional things that we continue to work on. Our goal is to get the mine up to 55,000 tons per day and that will help us manage our cost per tonne that will be the focus going forward. We continue with the permitting activities for the Barnat Extension everything going as planned. As we look at the mine plan going forward, we see Agnico’s 50% share of production here getting to 325,000 ounces per year level. So a good solid asset on life generating increasing quantities of gold at low cost and generating good cash flow. And we like to congratulate the Malartic team for pouring their 2 million ounces of gold on September 22. At Goldex, mine continues to run extremely well, the average 6,200 tons a day in the quarter that’s up 5850 a year earlier, our grade was 1.5 grams per tonne versus 1.72, so we got higher output in the quarter at 31,000 ounces cost below $500 an ounce on a cash cost basis, our recoveries were up as well almost 95% versus about 93% a year earlier. So across all measures our mine continues to perform extremely well, we announced in July an extension of the mine life out to 2024, we would expect as we continue to analyze additional opportunities at Goldex, other satellite zones and will be over extended beyond 2024. And we continue to look at the Akasaba West deposit, we submitted the environmental impact assessment for permitting and we would expect that could augment production at Goldex by 20% to 30% one sets in the mine plan. So in Québec despite the fact that the lack of operation will come off-stream before the end of next year, we have the makings of a long-term production days at 800,000 ounces or better range, so good solid base in Québec. Lapa despite the short life the mine and the employees continue to perform extremely well managing costs, getting extra ounces of deposits, 26,000 ounces cash cost at 522 and commercial production as we said is forecasted in by Q3 2016 and already begun the process of transitioning a lot of workforce into other Abitibi operations are replacing contract employees at both operations. So all in all continued good performance coming up at Meadowbank. We saw average daily throughput at 10,800 tons a day that’s down from a year earlier, we are averaging about a 11,500 tons a day that simply the results of transitioning into harder Gouldie pit. We have done a good job moving waste in the quarter so continue to get a good performance on the mining side, mining rates good development there. As we announced in July we are extending the mine life to Q3 2018, we expect production in the fourth quarter to be similar to the third quarter and in terms of production profile going forward our results of adding the Gouldie pit. We would expect to see Meadowbank produce about 50,000 less ounces next year then plan that’s on the table about a year ago, we would expect it to produce about 50,000 ounces more in 2017 that the earlier mine plant and we would expect it to produce 130,000 ounces or so in 2018. In the earlier mine plant we have no ounces at Meadowbank. Moving on to Amaruq, the mid-year inferred resource just to remind everybody was 9.7 million tons that’s 6.5 grams giving us about 2 million ounces. The 2015 drill programs now complete, we ended up drilling 378 holes drilling a little over a 100,000 meters into the deposit. Note, the recent drilling has confirmed that Whale Tail and Mammoth one zones form one mineralized system over two kilometers long, that’s been traced down at least to depth of 450 years and system is open and that’s been a long strike. In this area will certainly be a major focus of drilling in 2016 as we indicated at the start. At the Barsele, we have encountered a shallow dipping structure with lots visible hole that out-process on surface, so far we trace that down to a depth of 155 meters, we've got holes in there of over 5 meters and over 30 grams, 23 meters at almost 8 grams, 21 grams at 3 meters. Also this area will be a key part of our program for 2016 and as we said although it’s still very early this could potentially be a second source of open pit at Amaruq which could be very important for the project economic. As far as where we are with the project, we’ve got the road permitted so we would expect to receive a permit to start constructing the road in 2016 and that will be a year ground road that will allow us to link the project to the Meadowbank projects which will help us reduce the cost. We will start construction of that road from the Gouldie pit, which will allow us to use the waste from Gouldie. And I think from our perspective what we are focused on over the next few months is completing an updated resource which will give us a better sense of how we are going to move that project forward over the next couple of years. The resource will include all of the drilling that was done from June 30 to middle of October of this year and given some of the drill results we certainly expect that resource to grow. At Meliadine, we continue to update the study; we would expect to have that work done in February giving us some sense of what adding additional resources into the mine plant to the rate of return. From our perspective what we see at Amaruq given its potential and its proximity to Meadowbank combined with a large reserve and resource at Meliadine. What we see is an ability given our skill set and the asset base that we own a 100% in Nunavut, the ability to build a platform and a business in Nunavut that raises the size of our Québec business. Moving onto Kittila, Kittila processed almost 4000 tonnes a day that was up significantly from what we did a year earlier our grades were little over 4.6 grams, recoveries were almost 86% so getting a good recoveries coming at Finland. I think of most important now is the fact that we continue to get good drill results. And of the parallel zone next to the main zone and were focused over the next few months of adding extra drilling capacity at Finland in the underground to give us a better sense of the extent of the mineralized zone. If we look at the long section of Kittila we've got basically all of that reserve and resource which is over 7 million ounces was essentially on drilled until most recently from surface and it was only until earlier on this year were able to get some big underground drill in place. So we are looking for the end of the year to have an additional drill underground which will allow us to move into some open areas and we will certainly expect that deposit continue to grow as we move forward. We’ve also added cross section into the presentation. Moving onto the Southern business in Mexico and our operating margin was extremely strong from the entire business in Mexico in Q3, generating operating margins from the three mines over $60 million nine months we generated over $200 million. So that business continues to generate very strong net free cash flows. At Pinos Altos, the flagship mine are throughput rate was 5400 tonnes a day that’s up about 7% over the quarter in the previous year, producing almost 50,000 ounces of the cash cost of around $400 ounce. So excellent free cash flow generation coming out of Pinos Altos, Creston Mascota we continue to get steady production at good cost, but also getting some good exploration results at bottom of pit, the bit higher grade which is certainly help production going forward. At India we continue to get excellent performance, but were still optimizing net asset. We are looking to add to the mine life from we are looking to increased production levels as we go forward. At Barqueno we have 11 drills continuing to operate on the property we've got so far to the end of Q3 43,000 years done 171 drill holes we expect to have an initial resource are recorded with our year end results in February of 2016. The Azteca-Zapoteca area continues to be the area of main focus we done some conceptual pit out volumes we done some early metallurgical testing we’re going to move to large-scale testing in the fourth quarter. We started baseline environmental and social work on the project to move that forward. The way we look at El Barqueno is the type of project that we done very well in Mexico and see that as a minimum being another Lapa type but it also project but were now seeing drill holes and good intersections below the potential outlines for pit. So we get ultimately have an underground operation at El Barqueno site. So as we wrap up on the quarter what we can look forward to over the next few months as we said many times were still in the information gathering phase as we put a number of our project together over the next few months the layout our long-term growth plan. We will have an updated resource in Amaruq we’ll have an initial resource at Barqueno. We should have updated mineral reserve and resource for in Mexico for both La India and Creston Mascota. We look forward to more drill results at the parallel zone at Kittila. And I think most importantly thing able to update the Nunavut strategy and not only the Nunavut strategy but the longer-term for the building blocks for the company and we would put LaRonde plus the ability to increase throughput at LaRonde and take advantage of the headroom in the plant in that as well as Goldex and Akasaba. So that’s we’re moving forward and at this point I’d like to take questions. Operator.
Operator: [Operator Instructions] Okay, we do have a first question from Mike Parkin. Please go ahead.
Michael Parkin: Hi, Sean and guys. I just had a question on the Mexican operations, I noticed on our charts during the presentation also shows cost per tonne picking up quarter-over-quarter anything explaining that seems to kind of an annual thing on some of the assets. But I was just wondering if you had comments on that.
Tim Haldane: Yes, it’s Tim here. One of our comments normally don’t pay a lot of attention to mine site costs per tonne at Pinos Altos because that’s a multi-process, multi-mine type operation and so it’s underground mine, open pit mine, mill, heap leach, variable strip ratios. So it’s going to be noisy, it’s going to move around at La India and Creston Mascota I think you can probably attribute some of the movement in the mine site cost per tonne to mine productivity, which usually slows down a little bit during the raining season.
Michael Parkin: All right, thanks, guys. That’s it from me.
Sean Boyd: Next question, operator.
Operator: Yes, the next question will come from John Tumazos. Please go ahead.
John Tumazos: Congratulations on the record output and all the progress. At Kittila, in the new zones are the metallurgy is the same sulfur and carbon contents. Do you think the ores would process at the same rates in existing treatment facilities? The reserve life already is 20 years or more go to watch and increments for the next year expansions there?
Sean Boyd: Yes, metallurgy is the same and what we really try to determine is the extent of the zone and proximity of the zone to the existing underground workings including the ramp that’s moving from the main zone area out to the Rimpi area and that’s an operation that's running at about 4,000 tons a day. The plant can probably do 20% more than that. But at this point we are probably maxed out on the mining rate, but at this zone, materializes given its proximity to the main zone then there is certainly an opportunity for roughly the same amount of development to access more tons and hopefully increase the mining rate. So that’s the opportunity that’s why we introduced the second drill that will start before the end of the year in the ramp and drill that area more aggressively.
John Tumazos: Thank you, if I can ask a different question. In Meliadine what’s the target for resource conversions. Should we expect reserves to go up 10%, 20%, 50% obviously there is a lot of 7 million ounces of resource is there?
Sean Boyd: Yes, we haven’t really been focused on conversion drilling at Meliadine, it’s the budget was largely focused on the underground ramp access to the deposits. So we shouldn’t see any change in the classification of the resource reserve for the February update?
John Tumazos: Thank you.
Operator: [Operator Instructions] We will now take the following question from Patrick Chidley. Please go ahead.
Patrick Chidley: Yes, hi, everybody. Just a question on the Amaruq and just between the two zones, the Whale Tail and the Mammoth Lake that one hole that appears to be pretty significant to join up the zones. Have you got any more drilling there and what’s the plan to the next few months to be able to infill further?
Yvon Sylvestre: This is Yvon speaking. We fill the gap between Mammoth I and Whale Tail, and from now we see drill holes that they show the concentrate there between Mammoth 1 and Whale Tail, but well think all the sub state to be sure that we can have some economic envelope between the two zones. This is early to conclude to about that, but it’s looking good for now.
Patrick Chidley: Okay, so the widths look pretty similar.
Sean Boyd: It could be similar from now what we saw.
Patrick Chidley: Okay. And you highlighted some stuff in the V zone so I’m wondering is that in the current resource or is that outside of the current resource?
Sean Boyd: For now what we did when we compare with - we calculate 100,000 ounces on V and we start the program last year when we discover Whale Tail and this year we complete the program on the Whale Tail ad before the program is up we move two of its rigs on V zone. And what we saw is that completely just around the zone and we saw three lenses dipping the south, V1, V2 and V3 and what you saw on the table is more a V2 and what we think again to facilitate about the size. We will know the size next year whenever we start the program in winter.
Patrick Chidley: Right, when do you kind of startup drilling again?
Sean Boyd: We started in October 13, we bring the guys in January and probably mid-February the program will restart next year.
Patrick Chidley: Okay, great. Thank you very much.
Operator: We will now take the following question from David Haughton. Please go ahead.
David Haughton: Good morning Sean and team, thank you for the update. Still on Amaruq, just having look at the Whale Tail to Mammoth could you envisaged that as a single pit?
David Smith: It could be a single pit, but what you saw on the table on the V zone, now we focused on V zone because it is looking very close to the surface and it could be three zones if this fells on have certain continuity, but again we have continued to receive all the subject between Mammoth 1 and Whale Tail. It is hard to conclude right now, because we don’t have the supplement and we’ll conclude more in December it had something between Mammoth 1 and Whale Tail.
David Haughton: Okay. And also looking at the long section that you provided in relation to that, this is to suggest that there is a lot more potential for the underground and what we previously envisaged?
David Smith: You are right. When you are looking - we know last year that we have some holding on the deposits, the zone dipping in south and we are looking the trend from west to east and pointing to east we can see the zone is increasing in thickness and is completely holding in the east and it’s something that we have to focus next year for underground complement or the feasibility study.
David Haughton: Okay. And Sean had mentioned in the commentary that you are - have got receipt of the permit for the road and that construction would take place in 2016. What sort of capital should we be thinking about for the road?
Sean Boyd: I just spoke on that, we expect to get the permit before the end of 2016 and we don’t expect an issue. We have a significant planning commission confirm or road confirms the linings and we’ve always set the capital expectations there sort of in the $90 million to $100 million range for the road.
David Haughton: Yes, that may have been my mistake not hearing properly I don’t know.
Sean Boyd: Yes, I think I probably spoke about that.
David Haughton: All right, great. Thank you very much.
Operator: [Operator Instructions] We will now take the following question from Andrew Quail. Please go ahead.
Andrew Quail: Good morning, gentlemen. And congratulation on a very solid quarter. Just switching gears away from Amaruq, the production at Malartic was very solid and you are moving very close to that the design rates at the operation. I'm just wondering if you can give us a sense of with the work that you're doing on improving performance and productivity. Do you think that you will be able to hit 55,000 tonnes within the next say 12 months or what is your thought process in that regard?
Yvon Sylvestre: This is Yvon here. Now I think the performance of the sites have been very good I think most of the performance in the last quarter been relating to getting better pressure availability and feeding the pressure in a constant basis and having inventory being constant as this shown at that we can provide more tonnes on a continuous basis. As far as the first question we are going to be able advance 55,000 earlier that won't happen until 2017 that we get critical permits on the crushing side. So that what you saw this year will be a very similar picture connection.
Andrew Quail: All right. Thank you very much.
Operator: We’ll now take the following question from Stephen Walker. Please go ahead.
Stephen Walker: Thank you, operator. Good morning Sean the question on capital allocation if you would, if we assume that the organic projects Goldex, Kittila, Altos, Creston gets funded out of cash flow or operating cash flow and the new capital projects. Can you talk a little bit about envisage the funding for Amaruq, Meliadine, El Barqueno, particularly the funding of Meliadine and what alternatives could be considered. In the context of the current smart gold price for $1200 gold price are you could see the financing and funding for not so much worried about Amaruq your near-term but I thinking more about Meliadine and El Barqueno?
Sean Boyd: Yes, there is really no change and so the updates we had over the last few weeks I think we’ve been actively in fact quite busy over the last several weeks I gathering information and continue to gather information on all of the opportunities we have and some of that information gathering is still in the drilling pace leading to updated resources or initial resources as well as updating some study. So I think were still proceeding down on the timeline that we’ve been consistently talking about with our shareholders as to sort of early next year having the opportunity to pull all this together. So no change there but you know we’re looking at a C$1500 book price. And I think is Dave Smith pointed out back in 2011 I think the highest price we average in Canadian dollars over a quarter 16/50 Canadian. So this is still a very low price where in an area where we have three quarters two-thirds of our business. So we have to look at it in context and I think from Nunavut our experience tells us as this will be one of our key operating platforms over the number of years. So what we’re trying to see how can fit it in generate the return that we see neat there and I should say the Meliadine return go up from once in the 43-101as we corporate resource in there. But what we are trying to do is put a growth plan in place that introduce excess of risk into our business. And that’s working hard are doing and that means we have to pace things out and we are still in that space gather information to make those determination over the next few months.
Stephen Walker: Great thank you very much Sean.
Sean Boyd: Okay.
Operator: We will now take the following question from Greg Barnes. Please go ahead.
Steven Butler: Thank you, Steve this actually kind of jump on to my question. But Sean you mentioned none of that eventually being similar to the Abitibi in terms of scale. I know you're obviously gathering information on this but what kind of timeframe you are looking this is a 5-year initiative 10-year what do you think?
Sean Boyd: I think minimum five, we have to think long-term Amaruq is would be a big part of that obviously and it still very early. Our focused areas to identify second source of open pit ore we feel that gives the best chance to utilize the full availability of the Meadowbank plan, which would certainly drive the economics. And that will be I think the biggest single swing factor on the ultimate production coming out of the Meadowbank facility and that will be driven largely by grade. So it's still early, but as we look at the Abitibi, our sense is and what we’re still working on is, you know we know on our mine plan LaRonde gets up to 370,000, 375,000 ounces in our budgets and our life of mining planning. We know that we’re going to have about 2,000 tons a day of extra unused capacity in the LaRonde plant, which would allow us to add some ounces possibly from [indiscernible], so we are still studying that, low capital investments. So that could take that complex to 400, Malartic 300 little over and Goldex we think that Akasaba we can get that up to sort of a 140ish area, so that’s over 800. And our longer-term objective given Meliadine and given what see in Amaruq and as proximity to Meadowbank is that certainly has the potential to be 800ish, so minimum or early as that can happen is like the five years. But at the teams we have to take a bit longer because we have to manage risks that will do that.
Steven Butler: Because Meliadine is the key to that level of production, that is going to be a difficult decision.
Sean Boyd: Yes, of course it is, largely because of the capital. But I wouldn’t look at Meliadine is a 10% percent rate of return project I would look at as a project that we can likely get to our IRR hurdle rate which is 15%. So we have to look at it in that context. The question then becomes pace and I think we are foreseeing - with that platform it’s an area that we have said many times. It is an area we’re extremely comfortable doing business in. We can get things done there. We have a unique skill set that we’ve developed there since 2007 and what a 10 million ounce deposit growing at Meliadine tell us and what are seeing at Amaruq in terms of exploration tells us, it’s part of the world that, it’s just getting started in terms of understanding the mineral wealth that exist there. And we have a huge headstart, so why should - for us it’s a no-brainer actually, it’s a great place to imply capital. We've got people that can have demonstrate ability to add a lot of value, when they get centered on an operating region and a platform and just like we've been in - for 40 years and we expected to be in Finland for multi-decade, we certainly expect to be a benefit for multi-decade as well. So how we get there, we’re not sure yet. But we have the experience and the skills to get us to where we need to be and make that a very meaningful part of our business going forward.
Steven Butler: Okay, thanks, Sean.
Operator: We will now take the following question from Tanya Jakusconek. Please go ahead.
Tanya Jakusconek: Good morning, everybody.
Sean Boyd: Good morning.
Tanya Jakusconek: I have a couple of questions. First one is on taxes, maybe Dave can walk us through, what exactly happened with the taxes - quarter and or we should think about just trying to get and then my second question Sean for you just on the Lapa net availability, you mentioned - as a potential source of ore. Is that anything - what we be talking back…
David Smith: Yes, I will do that before he get to the excitement of tax.
Tanya Jakusconek: I know. I didn’t know who to ask…
David Smith: Yes, I’ll deal with that. It will be underground, there is several hundred thousand ounces of resource that have there for a longest time, it never made sense, because it did make sense to potentially crowd out other more highly valued tonnage in the region coming from Lapa, but it may makes senses and incremental addition to the LaRonde complex, we haven’t decided one way or the other what we are going to do, we’ve identified that there is an opportunity and our project development group in our northern business is working on that right now. We had studies that have been done over the last sort of five years to ten years on that issue. So what’s more sort of updating that work and it will still take us a few quarters to get that work done to decide whether it make sense for us.
Tanya Jakusconek: We need to refurbish that fast and is that related to the water?
Sean Boyd: Yes, we have to do water. We don't see there is massive undertaking to get that operation restarted if the returns are there.
Tanya Jakusconek: Okay, before going back to excitement Sean, maybe just one in terms of the cost - where do we see the $22 cost are moving?
Sean Boyd: Yvon, is going to take that.
Tanya Jakusconek: Okay, thank you.
Yvon Sylvestre: Could you repeat the question? I mean not sure on that.
Sean Boyd: Malartic cost where would they go when we get the throughput up from the current level of 53.7 up to 55.
Yvon Sylvestre: I think there is always going to be pressure for Upper Beaver, because there is going to stripping as the stripping ratio goes down in a bit so it’s more of a stripping that’s going to be finally the OpEx structure down the road.
Tanya Jakusconek: Okay, and the processing cost were down?
Yvon Sylvestre: They are going to be relatively flat going forward.
Tanya Jakusconek: Okay, so nine point offerings?
Yvon Sylvestre: Yes.
Tanya Jakusconek: Yes, okay.
Sean Boyd: Yes, just of hoping you are going to forget about the tax question.
Tanya Jakusconek: This is exciting for us.
Sean Boyd: So it is highly unpredictable and I don’t blame you for not understanding with the effect of IFRS effective tax rate method is going to be highly volatile quarter-to-quarter, but overall for the full year we still reiterated our guidance at 40% to 45% overall, but apologies that it’s quite unpredictable during the year.
Tanya Jakusconek: Yes, but maybe just what happened to get back the gain in the quarter.
Sean Boyd: The effective tax rate is applied asset by asset and then with exploration expense and so on. Just the way the effective tax rate works out, there is a huge recovery this quarter and it’s just literally applying the IFRS methodology, it is literally as simple as that, but it does effectively reverse throughout the full year if you have a gain like that which is unusual.
Tanya Jakusconek: But it’s not treated as an unusual item.
Sean Boyd: No, I guess there is no avoiding volatility unfortunately and it averages there. If you want to get into the details…
Tanya Jakusconek: Yes, we could take it offline.
Sean Boyd: Yes, give me a call and we’ll get attached the tax guy to that, but it’s really quite complicated.
Yvon Sylvestre: You need to book a lunch.
Tanya Jakusconek: Oh my god, all right. Thank you, guys.
Operator: [Operator Instructions] We will now take the following question from Anita Soni. Please go ahead.
Anita Soni: Good morning guys.
Sean Boyd: Good morning.
Anita Soni: Continued with you my questions just to see how my name would be pronounced, but it seems like you do okay. So my question I guess that one that remains with regards to Goldex and the grade that you have. It seems like you had a pretty good quarter with some good grads coming out of the M zone. How do you expect that to turn over to the next quarter and into the next year?
Yvon Sylvestre: Well, production profile for [indiscernible] quite similar to the production profile in Q3. We continue to get better than expected reconsolidation in the M zone because of greater proportion of free gold in that area. We’ve also had in some areas better reconsolidation in the E zone so I think at this stage might be a black model mainly for the M zone is little bit conservative.
Anita Soni: Okay, similar question to LaRonde I think you are pulling a little bit more from the - little bit harder, but the underground area, the deeper zone at LaRonde. Is that going to continue for the next year and just going back on to the higher areas?
Yvon Sylvestre: Well, I think the production profile for the Q3 and Q4 will be quite similar at LaRonde. And as we move into 2016, 2017 we’ll continue to increase the level of numbers of stores in the - as depth as we move to the west and we’ll get it to the reserve grade deem essentially.
Anita Soni: Thank you very much and congratulations on the quarter.
Sean Boyd: Thank you.
Operator: We will now take the following question from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, everyone. Just a couple of questions for me. First on Kittila, if it say all those well and parallel zone extends to what say closer to the ramp there conceptually when do you see potential increase may be in the mining rate and tonnage there to fill that 20% extra capacity of the mill?
Sean Boyd: Well I think we are focus at this stage at improving the overall economics in earlier question for the same defect and we working on the life of mine number our improvement program down the road that would see a larger rate to match the current capacity as well. Take the timing for all of that is probably 17, 18 onwards which is basically the timing for the production to be get in Rimpi, parallel zone we need to better understand in the next year and we could possibly see some production and around the 800 meter level coming into production perhaps 2019, 2020.
Unidentified Analyst: Okay and how does it may be impact to your thinking the shift there you know the zone.
Sean Boyd: For the banks three or four years we continue to mine plan is focusing on reserves about the 600 level and as we start mining at greater depth on the road past 2020. The shop will become both strategic for operation cost and hope the both strategic for exploration purposes. So that’s all part of our capital allocation process that we are looking into down and we will provide little more color on that in 2016.
Unidentified Analyst: Great. And just a quick follow-up. In Q2 you increased your CapEx for the year and then you cut it now by $60 million in Q3 maybe you could provide a bit of detail where is this CapEx coming out from?
Sean Boyd: No, it wasn’t really a cut, that’s about $35 million of the $50 million is FX driven change in the currency and about $15 million was deferral in the next year largely from Mexico next to southern business.
Unidentified Analyst: Great, thank you so much.
Operator: We will now take the following question from Don Maclean. Please go ahead.
Don Maclean: Hey, guys, I have a four part question on taxes.
David Smith: Great.
Don Maclean: Just kidding, Dave, slightly more exciting, when we slightly use actually about G&A and maybe about the Nunavut platform, Sean, if you look at the G&A cost burden as a percentage of your costs currently for the Meadowbank operations, could you give us a sense of what percentage they are now and if you look forward to the larger platform, what might happen to those?
Sean Boyd: Yes, we’ll let Yvon, talk about the costs and then I will come back and just talk about some of the incentives, we’re working on?
Yvon Sylvestre: Well, G&A cost I don’t have the exact number, they’re roughly one-third of our OpEx number. And the other part of dealing with the reality with other projects down the road because the cost of bringing in - people and so on is hiring [indiscernible]. It’s - I think it’s going to be quite similar to what we are seeing now in relative terms as to what we are seeing now and then.
Sean Boyd: In the bigger picture though I think what we haven't fully realized is the synergies with the Québec logistical support base and skill set there and the sort of emerging platform in Nunavut. And we do have one senior manager assigned to the task of joint services or the shared services and trying to understand ways that we can provide those services to the Nunavut platform in a more cost-effective way in utilizing the experience base that we have in Québec both from a skill point of view but largely from a planning and logistics point of view. So two projects you know those costs can get spread out and we have more opportunities for shared services. So that’s still a work in process, we’ve just sort of made those people reassignment over the last few months or so in conjunction with establishing a new team for the Nunavut strategy and the Nunavut business and so we certainly expect to be able to get some cost out of what we are currently seeing now that are being borne by Meadowbank.
Don Maclean: And so Sean, when you talk about Meliadine is being more conceptually like a 15% rate of return in your hurdle. Are you brining that into account, the synergies on the G&A?
Sean Boyd: No, no. Until now has been done in isolation so we haven’t got to the stage what we understand all of those energy to be able to incorporate and we expect to have that done before the first quarter of next year. So this is more of all a multi quarter process to identify the lock those synergies. And part of it is can we do more from the south, can we do more from our Québec base to support the operation or the emerging platform at Nunavut, because one of the biggest cause is transportation of people and housing the people in the north. So we are looking at all of that now in conjunction with potentially larger platform in Nunavut.
Don Maclean: We can just see the benefits just from exploration.
Sean Boyd: The fact that we are able to tag on the exploration support on to the Meadowbank production infrastructure and that’s why our cost to drill a meter in Nunavut are 300 meters - $300 a meter where Junior would probably be paying triple right now. So it's a matter of coordination and planning logistic. The better you are able to plan and the more effective that plan is and how lower your costs are. I think we had to figure that to move a pound of equipment or material by large, it’s under $0.10 a pound to [indiscernible], it’s close to $9. So a lot of that thinking still needs to be done as we try to see how those things come together.
Don Maclean: Terrific, thank you.
Operator: Okay there are no further questions, please continue Mr. Boyd.
Sean Boyd: Thank you operator, and thank you everyone. I know it’s a busy day so thanks for your attention to our conference call.
Operator: Ladies and gentlemen this concludes the conference call for today. We thank you for your participation. You may now disconnect your line and have a great day.